Operator: Good afternoon everyone and welcome to the WM Technology’s Inc Second Quarter 2021 Earnings Conference Call. [Operator Instructions]. I would now like turn the conference over to your host today; Greg Stolowitz, Vice President, Investor Relations. Please go ahead,
Greg Stolowitz: Hi everyone and thanks for joining our Q2 2021 earnings conference call. We have Chris Beals, our CEO; and Arden Lee, our CFO, with us today. By now, everyone should have access to our earnings announcement. This announcement is also on our Investor Relations website along with the supporting slide deck. During this call, we'll make forward looking statements, including statements about our business outlook, strategies and long-term goals. These comments are based on our plans, predictions and expectations as of today, which may change over time. Our actual results could differ materially due to a number of risks and uncertainties, including the risk factors outlined in our upcoming 10Q that will be filed with the SEC. Also, during this call we'll discuss certain non-GAAP financial measures, these non-GAAP measures are not intended to be a substitute for our GAAP results. Please refer to our earnings release on our Investor Relations website for reconciliation of GAAP to non-GAAP financial measures, as well as an additional context on our key operating metrics. And finally, this call in its entirety is being webcast from our Investors Relations website and audio replay will be available on our website in a few hours. With that, I'd like to turn it over to Chris.
Chris Beals: Thanks, Greg. And thank you everyone who's joining us today for WM Technology’s first quarterly earnings call as a public company. I couldn't be more excited for what lies ahead, especially when I consider not just what we're doing WM Technology, but also how fast it feels like the pace of cannabis legalization and normalization is occurring. Well, this is our first earnings call since the closing of our go public transaction, it is now our third publicly reported quarter since announcing our transaction in December. We've also spent years readying ourselves for this phase as a company, and are excited to finally be talking with you all directly as a standalone public company. We've had a strong quarter. Our Q2 revenue finished at $47 million growing at a reported 21% year-over-year, when you exclude Canada from last year's numbers our Q2 growth was 55% year over year. Just a reminder that as we removed all non-licensed Canadian operators from our platform in the second half of last year, which took revenue in that market to zero and we haven't yet restarted monetization, as we take the time to rebuild that marketplace. Apart from revenue growth, we saw significant gains across our key operating metrics with strong US growth and monthly active users, average monthly paying clients and average monthly revenue per paying client. As you can see from our results, we continue to maintain a strong gross margin and adjusted EBITDA profile. Before I go further into results, I want to take a moment to acknowledge and thank all of the employees at WM Technology, we’re ideating, building, selling and managing the products that allow us to drive growth in our end markets. We couldn't achieve our results without the entire team at WM Technology. Our teams have been relentless in their focus on tight, operational execution against our strategic pillars and growth priorities. Our strategy is working and we're excited by the results we're seeing in our end market as we continue to drive progress against our plan. For many of the investors and analyst followed them we've gotten to know you over the last several quarters, but some of you may be new to the WM Technology story. To that end, in case you're not familiar, I want to quickly take some time upfront to walk through who we are and what we do for those who may be a bit less familiar. WM Technology was founded in 2008 with a mission to power a transparent and inclusive global cannabis economy. We're one of the most established as well as one of the largest technology companies servicing cannabis end markets, and believe in the power of cannabis and the importance of enabling safe, legal access for consumers worldwide. We've been a driving force behind much of the legislative change over the past decade with respect to cannabis legalization, including a lot of the recent developments both at the federal, as well as the state and local levels, since this last November's election. We have two parts to our business, the Weedmaps marketplace, which consists of weedmaps.com our iOS and Android apps and then the WM business software offering. Weedmaps is what we were founded on back in 2008 and functions like most regulated two-sided marketplaces. But what's critically different is how we address many of the pain points facing both cannabis consumers and businesses. People often talk about how cannabis end markets are both nascent and highly regulated which is fairly obvious. What's less obvious is what that really means. The current state of our in market is unlike any other consumer discretionary retail or farmer related category, given the challenges in operating without basic things like normalized SKU data or product catalogs that allow technology platforms to surface product level information and insights that are relevant to drive user conversion and discovery. Cannabis at the end of the day is a highly regulated good with a wide range of clinical effects, where consumers are seeking not only base level information on products, things like imagery, description, user reviews, but also detailed insights and data around things like reported clinical effect, THC and CBD content with the prices on a waiter unit basis, reported strain flavors. Other types of data as well, all of which is needed to drive conversion. Our Weedmaps marketplace is able to surface those product insights and data, given the wealth of underlying data we have that we've accumulated over the 13 years we've been operating in addition to the critical integrations and data connections that we have with our clients operating systems, as well as with third party software within the sector. Several years ago, we saw how that linked to our clients operating systems was critical to driving conversion in our marketplace and that drove the idea of WM business, the other half of our operation. Today, WM business functions is one of the industry's first integrated technology platforms, offering our clients a comprehensive software, offering that includes integrations with our POS partners, for live product menus, orders function to receive and compliantly fulfill and dispatch online orders for pickup or delivery and eCommerce embed allows clients to maintain a digital presence and receive orders away from the market -- the Weedmaps marketplace on their own owned and operated surfaces, dashboards that capture listing traffic data and top traffic menu items and our own POS solution in select markets, and we're just getting started. We have a lot underway to build additional functionality to WM business to solve the pain points that our clients face and compliantly operating their businesses and driving growth. Our goals are to establish our Weedmaps marketplace as the center of commerce for cannabis consumers and to establish WM business as what we call the business in a box, software solution of choice for cannabis businesses. With Weedmaps we're focused on delivering ways for users to shop with competence across the widest product selection, surpassing the best prices with the most convenient retailers and a personalized experience. With WM business, we're focused on giving our clients multiple channels to target users, and get them converting to high margin orders, either on or off the Weedmaps marketplace. In addition to providing the software they need to serve as orders efficiently and compliantly, analyze data about what's working and not working and retarget users for repeat visits. Our competitive advantage is simple. We offer what we believe to be the most compelling return on spend for our clients versus any technology solution provider in the cannabis end-markets. And our focus is aimed is continuing to provide amazing value to our clients, to support their growth in ways that are more tangible and more visible. Our data shows that the longer our clients are on the WM platform, the more they spend with us as they see the impact that our solutions can have on their ability to acquire users, achieve operational efficiencies, and minimize the overhead burden of complying with state and local and city and county regulations. We believe our success and momentum as evidenced by our customer and an user base. As of June, 2021, we have over 4,300 paying clients that are spending on average approximately 3,600 per month on our platform. We have over 12 million monthly active users who represent some of the most valuable users in all of cannabis given their usage and purchase frequency. Let me remind everyone that active cannabis users, those consuming at least once per month are only about 12% of the US population today. And they represent the lifeblood for cannabis businesses, seeking to maintain profitability, and against that stat, our user survey data shows over 90% of our monthly active users consume at least once per week. Our regional footprint is broad, we have a presence in virtually all US states with some form of adult use or medical regulation in addition to Canada, where we're rebuilding our marketplace following the reset that we completed late last year. And we have economies of scale on how we ideate, develop and launch products, given the size of our engineering product and design teams, and our go to market teams versus other companies offering similar solutions across individual product verticals. Our focus in Q2 was executing against several regions specific initiatives, across our growing and emerging regions, we were under indexed and licensee share penetration. We continue to focus on acquiring new clients through promotional offers and targeted outreach, as well as educating them about the unmatched ROI we provide, and established in core regions, we continue to focus on driving cross product adoption engagement across our software solutions, which deepens our monetization, as clients see the outsize return on their WM spend. In selected regions, we're continuing to expand performance based and option pricing tests for our featured listings product, to increase the breadth of clients, who can access the valuable real estate on our Weedmaps homepage. As we expand these pricing models, we believe will unlock additional budget dollars by smaller operators, as well as close some of the implied cost per click or CPC gaps that we're seeing in our ad products versus other more generalized channels. Across all regions, we're increasing the breadth of our partner integrations to allow for easier new client onboarding, more real-time menu updates, and more efficiency and receiving orders either from Weedmaps or their own sites powered by WM store, which is that e-commerce and that I mentioned earlier. We're also incredibly focused on up leveling the client dialogue that our client facing teams are having, as we now have the ability to provide consultative advice and services beyond our legacy listings products, given the business in the box functionality that we offer. We're also focused on deeper penetration and underserved clients segments such as, multi-state operators and brands, which we believe should be a bigger portion of our business, and represent exciting growth opportunities for us as we look forward. On the client side, our product roadmap is focused on tightening the way our WM business offerings work together as well as with third-party technology solutions. In addition to optimizing for client feedback on feature set functionality. We have a vision of creating a single pane of glass view within our core admin surface that allows our clients to manage their entire business, seeing orders activity on Weedmaps in their own site powered by WM store, getting traffic, data and insights, allows them to make real time ROI based decisions on the point budget for growth and self serve capabilities to purchase add solutions based on these decisions. We want to be known as the ultimate business in a box solution that provides the most amazing ROI for cannabis businesses. On the consumer side, our teams have been working on improving the Weedmaps user experience by reimagining product and brand discovery flows, increasing the accuracy of menus and product level info on the marketplace and surfacing deals and discounts and intuitive ways that are more informed by our user data. We have a vision of being known as the destination to find both the most comprehensive and accurate product data and all in cannabis, as well as the most comprehensive collection of deals and promotions and all of cannabis. We want to be known by the cannabis consumer is the place to find the best and cheapest cannabis anywhere and at all times within legal markets. We had several notable developments in Q2 that I wanted to touch on. We hosted our second annual virtual streaming event to celebrate the 420 holiday, called Even Higher Together. Through that event, we generate over 800 million media impressions across multiple markets. We continue to make progress in winning retailers to the platform, with over 250 new paying clients added since last quarter. We continue to be the channel of choice for several marquee brands that we've only scratched the surface of our opportunity that we have with this client type. Our brand clients generated approximately 5% of our Q2 revenue. We believe that numbers should be multiples higher, and we're actively working on reimagining our product experience for brand clients to drive increased spend, as well as educating brands, about the reach and penetration that we offer with valuable cannabis consumers. This includes a range of initiatives to help brands better manage and syndicate their product catalog data, and now these products are surfaced by retailers, in addition to looking at ways to better help brands and graze directly with these high value in cannabis consumers, that are on the Weedmaps marketplace platform. In more recent developments, we also welcome the news from Apple on lifting App Store restrictions. Prior to this news, our iOS users were unable to access order ahead function directly within the Weedmaps app, within the Apple ecosystem, whereas the new App Store changes will enable our iOS users to place orders within orders enabled retailers directly in the app. This past Tuesday, we announced the launch of the first version of our enhanced iOS app that now includes the ordering functionality. As we feature, not only allows Weedmaps users to browse and discover cannabis products and deals in their area, but it also allows for orders to be submitted directly with licensed retailers through a single seamless in app experience. Our native app development team did an absolutely incredible job in launching the new app on an accelerated timeline, and we're playing to iterate quickly on the evolution of these features around the ordering in the app. We've also been instrumental in leading regulatory change through our policy efforts. Our government relations team has played an active role in shaping the laws and a number of these new states that are opening, as well as driving forward meaningful legislative change in existing states to support a functioning and equitable licensed market, whether it's working to clean up your county and restrictions or keeping advertising channels open for our clients, our team is on the forefront of shaping the marketplace to advance our mission for the benefit of clients. Separately, we're seeing a sharp increase in the amount dialogue we're having with our strategic integration partners, as a result of recent consolidation and financing activity across the space. Part of that is also the result of our increased access to capital from WM Technology, now being a NASDAQ listed company. That uptick in dialogue is resulting in an accelerated pace of integrations with our strategic point of sale partners, which in turn is giving us speed advantages and driving our cross product adoption and client engagement goals versus what we could do with just our own WM Retail solution. Our business in a box solution can be anchored either through our partners or through our own POS solution and the increased urgency of our strategic POS partner push to accelerate integrations is giving us a quicker path towards driving our cross product adoption goals. We expect these dialogues will enable us to pull forward product opportunities on our roadmap and inorganically drive growth. As we see opportunities to strategically deploy capital take advantage of our balance sheet to do just that, whether through bolt-on acquisitions or strategic investments that can further accelerate our growth. I also want to call out the organic investments, we're making in our people, especially in this environment, where the war for talent is fiercer than it's ever been. We've accelerated the pace of our hiring with over 120 new hires year-to-date. That includes a number of key leadership positions to augment our management layer, and help accelerate our growth plans. For example, we've recently added new Heads of Product, WM business, people in talent, infrastructure, and design and just the last few months, each of whom will bring with them incredible experience. While we're pleased with our performance year-to-date, we are very focused on executing on the opportunities in front of us. We're one of the largest technology platforms within all of cannabis, yet only have an estimated 40% of existing licensees in North America is paying clients on the platform. While our average monthly clients spend is approximately $3,600. We have an opportunity to increase our share of wallet given the ROI we deliver along with opportunities to drive deeper levels of monetization across our emerging regions. While we've successfully transitioned all of our clients to the new WM business subscription offering at the start of this year, we still have a lot of room to increase the level of cross-product adoption among our client base. Our data would show that as we drive more cross-product adoption, we see a more engaged client with deeper monetization in GMV potential, as well as stickiness. While the winds of regulatory change at the state and federal levels are blowing in our favor, we still have a long ways to go on achieving the right level of retail density across our markets, which means more built in growth as licenses continue to get issued. These opportunities are incredibly exciting to us as a company and me personally. Finally, I want to also provide an update on the subpoena we received from the US Attorney's Office for the Eastern District of California back in September 2019. The DOJ recently informed us that they are withdrawing the subpoena, and they don't intend to pursue further investigation into this matter. This is obviously development that I am very excited about. I'm appreciative of the DOJ for their diligence in this matter, and to put this behind us. I think that the steps we've taken over the past few years to focus our business around compliance and helping our clients manage their compliance bodes well for us going forward, and aligns us well with the interest of policymakers and regulators, who want to see a safely regulated legal cannabis market, and the road of opportunities ahead of us has never been clear. Today is an exciting time to be servicing the cannabis end markets. Since last November's elections, we've seen eight new states open their doors to adult-use regulations, and these markets are now marching towards getting licenses issued. And existing US markets that already open, we've seen over 900 new licenses be issued in this year alone, and expect the pace of issuance to accelerate. And while buzz around Federal legalization and new legislation at the state level doesn't meet will immediate revenue opportunities for us. We're actively investing behind these potential new market openings, and new product driven monetization opportunities that will be enabled by additional regulation. As I've discussed publicly in the past federal regulation, if passed, will unlock additional ways for us to monetize our growing GMV through transaction fees and payments, as well as through new product offerings. We're incredibly excited about the future and the prospect of federal legalization. With that, I'll turn things over to Arden, who will talk through our financial results for the second quarter. Arden, take it away.
Arden Lee : Thanks Chris. Our Q2 results reflect continued growth in both users accessing our Weedmaps marketplace, and clients subscribing to our WM business software offering and purchasing our advertising solutions on Weedmaps. As this is our first earnings call, and we have newer participants to the WM Technology story, I'll start by providing a brief overview of our financial model, and then go through our second quarter results before covering off on our guidance for the balance of this year. To start with, on our financial model. We provide cloud-based software to our WM business subscription offering as well as advertising solutions on our Weedmaps marketplace to cannabis businesses primarily retailers, and to a lesser extent brands. We offer these services to all segments of retailers serving cannabis consumers. That includes small dispensaries to large delivery operators to multi-location chains within a single state, to multi-state operators that span across state lines. Our WM business subscriptions have months-to-months terms and provide clients with access to a listing page with product menus on the Weedmaps marketplace. As well as value-added point of sale integrations to support their listing page menus, access to words and logistics functionality and software, access to our store menu embed to enable transactions on their own digital sites, traffic data dashboards in our own POS offering were available. In addition to the subscription fees from WM business, our clients can purchase featured listings, which provide prominent placement on our home page and other Weedmaps surfaces. Deals, which allow clients to showcase limited time offers and product promotions to consumers seeking value and various performance based display ad solutions across our Weedmaps marketplace. Like any two-sided marketplace, we focus on growing users and user engagements on demand side of our marketplace to attract clients on the supply side to purchase our WM business subscription offering as well as advertising related solutions on the Weedmaps marketplace. Our ability to grow revenue is a function of licensed density across our existing end markets. Our ability to capture those licensees is paying clients at WM business and the level of monetization that we drive with these paying clients as they seek to capture users on our Weedmaps marketplace through our featured listings, deals and other performance based ad solutions. As Chris mentioned, we currently have just over 40% share of licensees across our US and Canada end markets as paying clients on WM business. We estimate that there are approximately 8,200 retail licenses across our US end markets, with an additional 2,400 licenses in Canada. Combined, these licenses amount to a ratio of one license per 35,000 residents in total across these end markets. We believe that cannabis retail density over time will approach levels that are similar to either alcohol or pharmacy retail where store density is often closer to one store per 3,000 to 4,000 residents. We also believe that the minimum acceptable level of density to support a licensed cannabis market is one store per 10,000 residents. By either standard, our end markets are far from reaching these levels, which represents the opportunity for WM Technology. Without sufficient license density, we still see a large amount of cannabis demand continued to be met through non-licensed channels. While we can't predict the exact timing when new states and markets will be open with licensed operators ready to spend on our services, we have seen steady license issuance within our existing states and markets where we do business. Just in the year-to-date period alone, as Chris mentioned previously, we've seen over 900 new licenses issued across our US end markets with over 2x of that level of issuance in Canada. Now on to our second quarter results. In Q2, we generated total revenue of $47 million, an increase in 21% versus the prior year period on a reported basis, and 55% when adjusting last year second quarter to exclude revenue from Canada-based retail operators who failed to provide valid license information. As Chris spoke to we reset our Canada marketplace in the second half of last year, similar to the US reset that we completed at the end of 2019. That marketplace is currently not being monetized. We have plans to restart monetization later this year. Our Q2 growth reflects momentum across both our Weedmaps marketplace, which fuels advertising spend by our paying clients as well as our WM business software offering through which we receive subscription fees from our paying clients. At the start of this year, we transitioned all clients from our legacy standard listing subscription to our new WM business subscription offering, which represented approximately 23% of Q2 gross revenue. Our ad solutions, led by our featured listings product comprise the balance of our Q2 revenue mix. Our featured listings product is the lion's share of our revenue mix today, at 55% of Q2 gross revenue. As a reminder, our featured listings product has subscription like pricing, driven by a bid auction system, where clients are entitled to a fixed pricing over their subscription period for these valuable slots, or real estate on our homepage. We drove this growth from continuing to attract users to Weedmaps and new clients to WM business with deeper monetization of our existing clients. When looking at just our US end-markets, our average monthly revenue per paying client increased 21% year-over-year, with 28% year-over-year growth in paying clients. We were able to achieve this growth as a result of our focused operational and product driven initiatives. And we've generated this growth despite the slowdown in consumer spend across our US end-markets since the peak volume seen in Q3 of last year. These results, as Chris mentioned, are a direct outcome of the hard work by our teams on operational execution. Starting in Q4 of last year, we implemented several significant shifts across our business, aimed at improving our focus on serving client needs, across different regions, and shortening the time from product ideation to launch. These shifts included a new regional flying formation for our go to market functions, and a new incentive structure for our client facing teams that focuses both on revenue, as well as strategic priorities such as driving licensee share penetration and cross product adoption. With the recent promotion of our CMO, Juanjo Feijoo to assume the COO role, we consolidated our revenue marketing and Weedmaps marketplace teams under one leader, which is further tightened to coordination of our go to market activities in COO's motions for the benefit of our clients. We also consolidate our engineering product and design teams under one leader with new staffing models and product planning processes, designed to accelerate the delivery paths for new software and product offerings on our roadmap. These operational changes are starting to bear fruit, as evidenced by the quarter-over-quarter acceleration in growth that we saw in Q2, despite the deceleration in consumer spend within our end-markets. Fundamentally, we believe our clients continue to increase spend on WM. Given the outsize ROI that they see with us versus the other technology solutions providers for customer acquisition channels they have access to. For example, our WM business subscription offering at $495 per month for dispensary clients and $395 per month for delivery clients is priced at a fraction of the aggregate cost of pulling together comparable software offerings available from competitors within each of our product verticals. On the ad side, while we don't sell our listings today on a cost per click basis, the implied CPC of our paid listings inventory, year-to-date is about $0.60, which is significantly lower than other user acquisition channels that have less targeted audiences and lower conversion rates versus the user engagements that we deliver on the Weedmaps. Moving down the P&L, our Q2 gross profit of $45 million implied a 96% margin rate, which reflects a slight 70 bps margin expansion versus last year. These improvements are result of favorability in our server utilization costs and merchant processing fees. Adjusted EBITDA was $9 million in Q2, which reflected declined versus a year ago as a result of OpEx investments that we made in Q2. A reminder that our adjusted EBITDA is prior to non-cash costs, the largest of which is stock based comp, as well as non-recurring charges such as the impairment charge, we took in Q2 related to an office lease that we plan to exit, along with some one-time costs related to go public transaction. A reconciliation of adjusted EBITDA to net income is provided in an earnings release. Our reported operating expenses after cost of revenues and prior to G&A expense came in at $59 million for the quarter. Our reported OpEx includes $19 million in stock-based comp and $4 million in additional non-recurring charges related to the lease impairment and fuel related expenses. More information on these charges will be available in our 10-Q. Excluding these items, our adjusted OpEx for the quarter came in at $36 million or a 36% increase versus last year. The growth in OpEx reflects continued investment in sales and marketing and product development, as well as increased costs related to our go public transaction. In Q2, our sales and marketing OpEx prior to stock-based comp was $11 million, which represents 54% year-over-year growth. Our product development OpEx at $8 million also prior to stock-based comp represents growth of 24% year-over-year. We continue to invest heavily in headcount with wage related OpEx comprising approximately 60% of our total OpEx. As Chris noted, we've increased the rate of our hiring and the velocity of new roles that we're opening, particularly within our client facing teams, as we add more heft to our regional team structure, and also within our engineering product design work. We've also accelerated strategic marketing investments across our priority markets as well as new states that have yet to open such as New York. For example, many of you may have seen our digital billboards, running in Time Square during the 420 Holiday celebrating the recent legalization of adult-use in that state. Our G&A for the quarter was $16 million prior to stock-based comp and the other adjustments I noted previously, and that represents 33% year-over-year growth, primarily driven by new costs that we incurred as a public company and to a lesser extent, certain costs, such as events and travel and entertainment spend that have returned as the world gradually reopens. Given the macro growth of the cannabis market and our ability to drive revenue growth with increased investment, we will continue to actively look for ways to deploy capital in the second gap -- second half, as our focus is on capturing our growth opportunity whether for 2021 or beyond. Our reported net income was $17 million, which compares to $9 million, we generated in Q2 of 2020. A reminder to everyone that we implemented an Upsee transaction structure with the go public transaction, why this is relevant is that you'll see in our financial disclosures that we report net income, as well as net income and EPS attributable to WM Technology Inc. The reason for that is with our Upsee structure, our prior holders in WM Holding Company, which was our operating entity before the Dspec transaction, continue to hold units directly in that operating entity, as well as in our publicly traded entity WM Technology Inc. You'll also see that as a result of our Upsee structure, we have several classes of shares. We have 63.7 million Class A shares, which have voting an economic interest in WM Technology Inc. We also have 65.5 million Class V shares, which have voting interests in WM Technology, Inc, but no economic interest. These V shares are paired with units that hold economic interest in our operating entity, and those paired share units are exchangeable one for one into Class A shares over time. Finally, we also have an additional 25.7 million units in our operating entity held largely by current and former employees that can also be exchanged into Class A shares. So taking a step back, we estimate our basic share count as the sum of those three share types, and that totals to 155 million. We separately have another 19.5 million public and private warrants, with a strike price of $11.50 that will be included on top of the 155 million basic shares, when calculating a fully diluted share count. Speaking of our capitalization. We ended the quarter with $92 million in cash and no financial debt on the company. As previously discussed, we believe that operating in a net cash position is beneficial in the current environment, as it gives us flexibility to invest in areas, where we can accelerate and pull forward opportunities beyond our organic growth plan. Chris talked about this in his comments, but to reiterate those, we're in an environment where a number of our integration partners are considering their strategic and financial options, which is leading to conversations and potential opportunities that could be accreted to our growth. We for example are an active dialogue on a couple bolt-on opportunities among others that could be interesting extensions of our product offering. I'll now turn to our financial outlook. 2021 continues to be a dynamic year for the cannabis industry and our end markets. While new states continue to open and licenses continue to flow across our existing states, consumer demand based on our data points has slowed versus where we were this time last year and there continues to be uncertainty around the broader operating environment, particularly with the resurgence of COVID cases. With that said, we continue to expect to achieve total revenue growth, consistent with our prior guidance of $205 million for the full year. We expect our second half growth will be more weighted towards Q4 on a reported basis, given several operating and product initiatives that we have in flight for Q4, along with our plans to restart monetization agenda. We expect growth in the US end markets alone will be generally consistent with what we've seen in the first half of this year. On profitability, we're investing heavily on new headcount, both in our regional client facing teams, as well as in our developer teams, as we look ahead to solidifying our positioning in new markets opening in 2022. Much of what our developers are working towards is net new in nature, for the benefit of our clients. To that end, we expect to begin capitalizing a portion of our product development OpEx, starting in Q3. And that's been enabled by the new internal processes I spoke to earlier and the visibility we now have, on closely tracking our developer workloads. We expect to be able to balance on the one hand, continued investment in the business for growth in 2022 and beyond. While on the other hand, maintaining strong profitability, consistent with our prior guidance of $50 million in adjusted EBITDA for 2021.
Arden Lee: That concludes our call for today. I'd like to thank everyone again for joining us today for our inaugural earnings call. Chris, Greg and I look forward to reporting on our progress for Q3 later this fall.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.
End of Q&A: